Operator: Good afternoon, ladies and gentlemen. Welcome to Tucows Fourth Quarter 2016 Conference Call. Earlier today, Tucows issued a news release reporting its financial results for the fourth quarter; that news release and the financial statements are available on the Company's website at tucows.com, under the Investors heading. Please note that today's call is being broadcast live over the Internet and will be archived for replay, both by telephone and via the internet beginning approximately one hour following the completion of this call. Details on how to access the replays are available in today's news release. Before we begin, let me remind you that the matters the Company will be discussing include forward-looking statements and, as such, are subject to risks and uncertainties that could cause the actual results to differ materially. These risk factors are described in detail in the Company's documents filed with the SEC, specifically the most recent reports on the Form 10-K and Form 10-Q. The Company urges you to read its security filings for a full description of the risk factors applicable for its business. I would now like to turn the call over to Tucows President and Chief Executive Officer, Mr. Elliot Noss. Please go ahead Mr. Noss.
Elliot Noss: Thank you, operator. And thanks, everyone, for joining us today. With me is our Chief Financial Officer, Mike Cooperman. For our today I'll begin with an overview of the financial and operational highlights for the fourth quarter. Mike will then provide a detailed review of our financial results, and I'll return with some closing thoughts before we open things up for questions. The fourth quarter saw another strong financial performances capping off a record year for our Company. Revenue for Q4 grew 9% year-over-year to $48.8 million, and for the year grew 11%, just under $190 million driven by solid growth in both Ting Mobile and Domain Services. Net income for the quarter was $2.8 million or $0.27 a share, before one-time items that Mike will speak about later; it increased 12% year-on-year to $3.5 million or $0.33 a share. For the year, net income grew 41% to $16.1 million or $1.53 a share. And adjusted EBITDA grew 33% to $7.3 million and 44% to $30.1 million for the quarter and year respectively as a result of the significant operating leverage in our business. We also continue to generate strong cash flow from operations which was $9 million and $22 million for the quarter and year respectively. Given our recent acquisition, I'm going to break from our standard format a bit and begin a review of the various businesses with domains starting with our recent transaction. As a quick recap, on January 20, Tucows acquired Enom, a wholesale domain name registrar from the right side group for a purchase price of $83.5 million. The Enom business has approximately 14.5 million domains under management, 28,000 resellers and approximately $15 million in EBITDA which we hope to be able to expand to $20 million over the next 24 months as we realize the synergies available to us. This transaction is overwhelmingly about generating scale and realizing cost efficiencies, most of these will be realized simply through greater efficiency in the technical footprint and a much lower reliance on licensed software. We note that the Enom business is a flat, potentially even slightly negative growth business in terms of gross margin dollars. This is primarily due to the customer mix being composed of a higher number of traditional web hosting companies in North America and Europe. The two customer profile that we've been calling out as more growth challenged for the past couple of years. Enom also has historically lower renewal rates than the open SRS business. Turning now to the key operating metrics for our Domain Services business for the fourth quarter; we once again saw the steady performance we've come to expect from this business quarter in and quarter out. In our wholesale channel, total registrations for the fourth quarter were up 19% year-over-year with continued strong growth in open SRS transactions supplemented by the addition of the Melbourne IT names acquired in April of 2016. The number of new transactions grew by 18% and renewals were up and equally healthy 19%. Our renewal rate continued in its historical range of within a point or so of the 75% coming in at 76% in Q4, well above the industry average. Total domains under management expanded 12% from the end of Q4 last year to 14.9 million with a bulk of that driven by the Melbourne IT acquisition. I will also highlight that in Q4 gross margin again increased continuing an ongoing trend as we continue to benefit from the shift to mix in higher margin product. On the retail front, Hover delivered another strong performance with gross margin up 13% from Q4 2015 driven by continued steady growth in the customer base which was up 22% from the end of 2015. And I will note for you that our customer growth in Q4 benefited from a one-time pick up of about 13,000 customers from a deaccredited [ph] registrar. In addition, our renewal rates remained well above the industry average at 81%. As part of the Enom acquisition, we acquired a mature retail business and associative customers which for the past few years has been more about maintaining and servicing Enom existing customers as opposed to growth, it has not been actively promoted and as a result has a flat to declining trajectory. It's something we don't intend to change in the short-term but as we look under the hood and get a better sense of the platform as we will with all of the operations, the long-term plan might be different. Going forward we're not going to be breaking the two retail businesses out separately. We'll report a single retail domain line as we always have but we will provide a sense of how these individual businesses are doing relative to their current trajectories. On the people side, we've already recognized a few places where we will be able to use people and skills more broadly. We all know that the domain's business is a very low margin business and one where you have to be extremely careful of your costs. Accordingly, we've always run the domains business pretty lean, this gives us a singular opportunity to take advantage of the good people we've been able to pick up. We even see some opportunities in people across the Ting businesses. Ting Mobile added over 4,000 accounts and 10,000 devices in Q3 to bring our total to 151,000 accounts and 245,000 devices. Taking a closer look at those numbers, it was another strong quarter of growth in devices per account as more accounts moved beyond just one device. With service on multiple networks, support for just about every old and new device on the market lower data rates and even a generous relief program for early termination fees. It is getting easier and easier for families to bring every member to Ting. The quarter also benefited from better than expected churn at just under 2.5%. Q4 is typically a time for increased switching throughout the category and has historically been the highest quarter for churn at Ting. That 2.5% is a welcome improvement over the 2.7% we reported in Q4 of 2015 and the 2.8% were reported last quarter. After defying seasonality for the last two quarters of the year, it seems that our data rate decrease in August has had an impact on churn. We impacted the top addressable reason why customers were leaving us and they responded almost immediately. We looked forward to a full year with these new rates and increased retention efforts. Folks who are paying closer -- particularly, close attention might have noticed a slight decrease in mobile gross margin dollars from just over $9 million in Q3 to just under $9 million in Q4. I want to remind you that Q3 saw inflated margin as we receive cost breaks from the carriers in July and customers did not start seeing those price breaks until early September. Now that the dust has settled from our decrease in COGS and price drop, I should update a key metric on the business. I've historically talked about Ting Mobile customers representing about $200 a year in billed gross margin, around a $35 bill at a 50% margin, and you'll remember that I took that gross margin number up last quarter. As total usage per account has increased and our costs have decreased that total gross margin dollars per year per account is now around $240. Overtime we expect bills to continue to go up with increased usage and our profit margin to go down within our margins on high usage, but we will likely continue to land around that absolute margin dollar number. I will also update on the infomercial that I mentioned last quarter. We ran a pilot November with moderately encouraging results. The placements made the phone ring which is a great start. We would like to improve the cost per call but conversion is where we need to focus. We believe that there is enough potential to test further but before we turn it back on we've been doing quite a bit of work, particularly on the conversion side. We have listened to thousands of calls and built training document scripts and tools aimed at closing more deals. We've engaged an outside sales capability to help us optimize and scale quickly through the pilot phases. We have also identified resources from the recent Enom acquisition that bring greater phone sales experience and skills than anything we've ever had in-house. In the end, there are very few acquisition channels that have the scalability the television does; so we are determined to give it our best shot and we are hopeful that there is a path to an acceptable cost per acquisition. The next round of testing will take place later this month and I will update you on the next call. Of course, if you're up late and happy to see the infomercial running repeatedly, you will have some early indication. We also continue to test a wide range of sponsorships, partnerships, distribution opportunities and direct response vehicles to broaden our awareness and expand our base. We continue to find small wins and are happy to provide detail when those small wins become bigger wins. In November, consumer reports released its annual survey of U.S. cell phone providers and Ting was once again the top-rated post-paid service outranking major carriers and challenger brands alike. I will also share an opportunity that materialized just in the last few days. Another Sprint MVNO called RingPlus has announced that it will be shutting down its service, and we've reached a tentative agreement to migrate their customers to Ting. It is simply a marketing agreement, not an acquisition of any assets or resources. They had roughly 80,000 customers, most of whom were on a free plan. We do not know how many real customers this will produce after an inevitable initial exodus but we know that it will initially inflate gross adds, churn and marketing expenses in the form of credits we are providing. We wanted to share this as it has been made public on their forum and on Reddit, and we wanted you to know that this is a good opportunity but it will take a lot of work, especially at the customer service level and we really will have no indication of success until the next call; the data simply will not be right. So Ting Mobile enters 2017 with a strong brand, strong financials, strong customer retention and a ton of exciting new ideas and initiatives on customer acquisition and conversion. It also enters 2017 with a run rate of over $35 million in annual gross margin and over $70 million in revenue. We are confident that Ting Mobile still has its biggest growth opportunities ahead and we are excited to get out [ph]. Meanwhile, Ting Internet had another great fourth quarter of progress on the ground, underground and up on poles. In Charlottesville, Virginia, our customer installs continue to increase every single month and we continue to be limited only by city permits, serviceable addresses and installed capacity. Meanwhile, we did add another couple of thousand serviceable addresses in Q4 bringing this up to about 12,000 potential customers. It is also worth noting that while we start -- started building the network in service and customers in Charlottesville even before we instituted our pre-order system, pre-orders now play a key role in guiding our network expansion there just as we will see in a new town like Holly Springs. Also, pre-order is proving to be about as good as an order with over 90% conversion so far from one to the other. In Westminster, Maryland, where the city is building the network, the city is nearly finished with its next wave of construction and we have just started lighting up the first customers in these new neighborhoods. Likewise, Centennial, Colorado and Sandpoint, Idaho, are both hard at work on their municipal core fiber networks and we expect to be servicing the first customers in both markets later this year. We did light up the first customers in Holly Springs at the start of 2017 and we're moving quickly to convert all the pre-orders in the first few neighborhoods there into active customers. I remain comfortable with the core assumptions and metrics that I've shared on the Ting Internet business. The variables we will most look at optimizing going forward will be build costs and adoption rates; we do not expect to be changing those variables for your modeling quarterly. Much like gross margin per customer per year on Ting Mobile we will more likely revisit them over the years. Again, we expect to see 20% adoption among serviceable addresses in a year and 50% in five years. At these take rates we'll be paying about $2,500 t0 $3,000 per customer in CapEx and those customers will be worth about a $1,000 a year in margin. Again, just these first five towns should represent about 85,000 serviceable addresses at completion. We certainly look forward to expanding our footprint further and we have more in-bound interest that we have ever had before. I expect to announce additional towns this year but I have no imminent announcements at this time. And now I'd like to turn the call over to Mike to review our financial results for the quarter in greater detail. Mike?
Michael Cooperman: Thanks, Elliot. As Elliot discussed at the outset, the fourth quarter was marked by strong financial results contributed to recruit [ph] performance of each of our key financial metrics for the full year 2016. Revenue grew 9% to $48.8 million from $44.7 million for Q4 of last year, driven by the expansion of the Ting Mobile subscriber base, the incremental contribution of Melbourne IT International wholesale domain reseller channel that we have acquired in April 2016 and growth in the Hover customer base. Costs of revenues before network costs increased 5% to $30.7 million from $29.2 million for Q4 of last year. This is resulted in an increase in gross margin before network cost of 17% to $18.1 million from $15.5 million. As a percentage of revenue gross margin before network costs expanded to 37% from 35%. Looking at gross margin via line of business, gross margin for network access increased by $1.4 million or 18% to $9.2 million from $7.8 million for Q4 of last year with the increase driven entirely by Ting Mobile. As a percentage of revenue, gross margin for network access increased to 49% from 46%. Gross margin for the main services for the fourth quarter increased $1.2 million or 16% to $8.9 million from $7.7 million for the corresponding period last year. As a percentage of revenue, gross margin for domain services expanded to 30% from 28%. Looking at each component of domain services individually, gross margin for the wholesale channel increased by $900,000 or 17% to $6.2 million from $5.3 million with the increase attributable to the incremental contribution from the acquisition of the international wholesale reseller channel for Melbourne IT and the continued benefit of the shift in sales mix to higher margin services. As a percentage of revenue, gross margin increased to 24% from 22%. Gross margin for retail services increased by $200,000 or 13% to $2.1 million from $1.8 million for the same quarter of last year. As a percentage of revenue, gross margin for retail services decreased slightly to 54% from 55%. Gross margin for portfolio services was up 7% to $555,000 from $517,000 for Q4 of last year. As a percentage of revenue, gross margin increased to 80% from 74%. Turning to costs, networks expenses for the fourth quarter of 2016 were relatively flat at $1.3 million compared to the same period last year. Total operating expenses for the fourth quarter increased 20% to $11 million from $9.2 million for Q4 of last year. The increase is primarily due to the following incremental costs, mainly in support of our network access initiatives. First, I will note that during the quarter we incurred some one-time expenditure totaling approximately $1 million related to the Enom acquisition and the Ting Mobile business. In addition I would note for you that we are still expecting to incur approximately $0.5 of additional Enom transaction related costs during the first quarter of 2017. Second, marketing expenses increased by $500,000 year-over-year, primarily for the acquisition and ongoing support of Ting Mobile and Ting Internet customers. Credit card processing fees, primarily to support the growth of Ting Mobile and Ting Internet, and contact and outside services increased by $200,000 and finally, depreciation and amortization which increased by $200,000, primary the result of our acquisition of the BRI Group in February 2015 and the acquisition of the international reseller channel of Melbourne IT in April of this year. These increases were partially offset by the impact of the fair value adjustment on matured contracts which resulted in a $1,900 realized gain upon settlement of currency forward contracts for the quarter compared to realize loss of $100,000 for Q4 of last year. As a percentage of revenue, total operating expenses increased to 23% from 20% in Q4 of last year, largely the result of the impact of the one-time expenses I mentioned earlier. Excluding the one-time expenses mentioned earlier, total operating expenses as a percentage of revenue were relatively unchanged when compared to the fourth quarter of last year at 20%. Net income for the fourth quarter was $2.8 million or $0.27 per share compared with $3.1 million or $0.29 per share for the same period last year. Again for comparative purposes net income for the fourth quarter of 2016 included the two one-time expenses totaling approximately $1 million that I mentioned a moment ago. Turning to EBITDA, as a reminder two quarters ago we modified the definition of adjusted EBITDA in response to clarification guidance regarding non-GAAP measures issued by the SEC in May of 2016. The SEC guidance indicated that adjusted earnings for deferred revenue may not be consistent with disclosure rules. Accordingly, we revised our definition of adjusted EBITDA to eliminate the adjustment for the effective net deferred revenue to reflect net revenue on an earned basis. For those of you wishing to compute our adjusted EBITDA in our prior definitions, this can be done with reference to our disclosure financials and our MD&A. Adjusted EBITDA using this new definition for the fourth quarter increased 33% to $7.3 million from $5.5 million for the corresponding period last year. Turning to the balance sheet; cash and cash equivalents at the end of the fourth quarter of 2016 were $15.1 million, up from $4.6 million from $10.5 million at the end of the third quarter of 2016. The increase compared to the third quarter -- end of the third quarter was primarily the result of generation of cash from operations -- operating activities of $8.9 million. This was partially offset by our continued investment of $4 million in property and equipment, primarily for the continued build out of the Ting Internet footprint and $258,000 for repayment of our credit facility. At the end of the fourth quarter, the outstanding amount in our credit facility was $10.2 million, down slightly from $10.5 million at the end of the third quarter and up from $3.5 million at the end of the fourth quarter of 2015. The increase compared to the fourth quarter of 2015 is largely the result of using $6 million to fund the acquisition of the Melbourne IT wholesale domain reseller channel and our borrowing $2 million to fund the build out of our Ting Internet footprint. Subsequent to the end of the quarter, concurrent with our acquisition of Enom, we expanded our credit facility to $140 million from the previous $75 million level and grew an additional $84.5 million on that facility to fund the Enom purchase. Deferred revenue at the end of the fourth quarter of 2016 was $77.8 million, up 9% from $71.6 million at the end of the same quarter a year ago, and down marginally from $78.4 million at the end of the quarter of 2016. The increase relative to Q4 of '15 primarily reflects the additional deferred revenue from the Melbourne IT wholesale demand acquisition. I will now turn the call back to the Elliot. Eliot?
Elliot Noss: Thanks Mike. First, a brief comment on our newest board member, Brad Burnham. On January 12 we announced that Brad Burnham was joining our Board of Directors. Brad is a Founding Partner at Union Square Ventures and I've been pursuing Brad to join our board for a number of years. He finally relented. There was a post on the Union Square Ventures blog about his reasons for joining the board, and if you're interested, I suggest you read them. In connection with him joining, Union Square Ventures purchased public stock of Tucows and by that I mean not from the company. They have not filed in relation to that investment nor are they required to. I'm excited to have Brad on the board and his interest in the open internet and the impact the fast reliable internet access can have on society makes him a great fit. With speaking with many of you, the topic you most like to discuss is capital allocation. For us the Enom acquisition represents the largest amount of capital we have ever deployed in one bite. I would like to talk about that and our expectations for 2017. First, 2017 and unfortunately I need to reiterate some accounting that Mike just talked about. Also something I talked about on the call following the transaction, but this deal will make the GAAP numbers for 2017 rather disconnected from the cash generated by the business. Under U.S. GAAP purchase accounting rules, were required to record all assets and liabilities at fair value as of the date of acquisition which in the case of deferred revenue will result in it being recorded a different value than its historical book value. Most notably, this will have the effect of reducing revenue and deferred revenue of the acquired business from what would have otherwise been recognized pre-acquisition. Again, this accounting will have no cash impact. The impact will be a roughly $8 million reduction in adjusted EBITDA in 2017. Without taking that non-cash impact into account, we are providing adjusted EBITDA guidance for 2017 of $50 million. This is being delivered with continued solid growth expected in our Ting Mobile business, a bit of growth from our existing domains business and the addition of Enom. I will also note that this is being delivered while investing between $4 million and $5 million in the Ting Internet business on an operating level. I should note that this number is up only slightly from the investment this year which was higher than planned but not at all troubling. There were a couple further [indiscernible] on that number. There are a lot of big moving parts right now; the Enom integration, the huge opportunity represented by the Ting Internet business and some very real customer acquisition initiatives in Ting Mobile including the potential hit of credits around the RingPlus marketing transaction. We may choose to step up and spend in any of these areas. As always, we will keep you well apprised as we proceed. In terms of the transaction itself, it has been 100% financed as we have used our strong cash flows and clean balance sheet to access significant capital efficiently and inexpensively without impacting our planned capital expenditures on fiber in anyway. The fourth quarter was a very solid finish to a very solid year; a year in which continued growth in revenue and the leverage in our business propelled us to new levels of profitability. And maybe more importantly for the long-term, a year in which we took some very important steps that will continue to drive growth and profitability for years to come. And each of our businesses contributed just what we would have hoped to the overall business strategy. Domain services achieved greater scale and efficiency with the acquisition of successful integration of Melbourne IT's international wholesale domain reseller channel and the very recent acquisition of Enom with its expected operating synergies to come over the next 24 months. Ting Mobile delivered outstanding growth finishing the year with a run rate of over $35 million in annual gross margin and over $70 million in annual gross revenue. And Ting Internet took huge strides towards future contribution as we added new towns, expanded our networks, drove demand and optimized our operations and processes. And with that I'd like to open the call to questions. Operator?
Operator: [Operator Instructions] Your first question is from Hubert Mak from Cormark.
Hubert Mak: Firstly, I just want to clarify some of the numbers that you throw, in terms of guidance I heard $50 million is -- that's combined run rate for '17 and I guess the $8 million in EBITDA reduction is related to Enom to go from a pro forma to --
Elliot Noss: That's right, that would be that that non-cash deferred revenue catch up and then start to realize, that's right.
Hubert Mak: Okay, and included in that is $4 million to $5 million in operating -- I guess investment for the fixed internet?
Elliot Noss: That's right, correct.
Hubert Mak: Okay. And just related to that, are you guys able to provide what the protected amortization coming from the Enom?
Elliot Noss: It's -- Mike will correct me if I'm wrong, but you know it was a share purchase; so there was a little bit -- I don't know if you talked about -- there was a little bit of NOL benefit but -- well, we can't talk about that yet, so none of you heard that. That's going to -- it's probably going to have to wait Hubert for the final audit.
Hubert Mak: Okay, I understand. And just on the mobile, I heard that you toppled the RingPlus which you're gaining substantial base here and I think a lot of them were free as you mentioned on the call. So what is your strategy here in moving some of these to potentially panning and how do I think about that in terms of like what you're -- any idea of what's in conversion?
Elliot Noss: You know, so it's very difficult to tell what the end numbers will be like. They were certainly -- of that 80,000 customers, the significant majority -- most of those customers took advantage of the free offering. There were still a solid number of customers well into the five figures who were paying something every month. Now it's a little bit more of a pay as you go service and the plans were all over the place; so we're looking at the usage. But I would say two things; first, this allows us to leverage some of the things we do very well. So particularly there our ability to provide a quick solution to both RingPlus and Sprint in terms of platform, our ability to get the website where it will need to be to receive these people comfortably, our ability to deal with challenges on the communication and social side to sort of all of that customer experience stuff that we do so well. In addition, this will really, really put a lot of work on customer service. So we're going to be sorting through these customers. I think I'm comfortable saying I'm -- you know, it's very difficult to say what we will expect but if we get at the end of the day, you know, it's a year from now and there is an extra 5000, 6000, 7000 regular Ting customers will be quite happy with the approach.
Hubert Mak: Okay.
Elliot Noss: So you heard that as a hope, not a guidance.
Hubert Mak: Right, I understand. In terms of the infomercial, it sounds like that is a key driver here, all these key initiatives that you guys are focused on here and facing your commentary you suggested that we're seeing moderate sort of impact here like -- is this the key initiative or is there anything else that you guys are working on that could potentially reaccelerate the growth and in terms of self-adds [ph] or at least the net adds and how do I think about that here?
Elliot Noss: Well first, you know the first thing I'd say is, it's the first tick up in a number of quarters; so I want to look at that positive and see it as that. Second, there is a couple of reasons why I wanted to call out the infomercial in particular. First of all, it is -- it's kind of uniquely expensive with lot of things in this world you can test them very rigorously at $5,000, $10,000, $15,000 or $20,000. You know, the infomercial required a bit of a step up, I've talked about the spends there as being in the mid six figures to really fully tested. So you know, I wanted to call it out for spend purposes. And second, it's something that people can see -- you know, it's visual. I would not want a shareholder of ours to have trouble sleeping one night and the first they heard about the infomercial was having a pop up at 2:00 in the morning as they are watching TV, so I wanted to share all of it with you. It also is uniquely scalable, you know what -- I mentioned in the prepared remarks; television uniquely -- you're able to turn the dial and as you've heard me lament about our customer acquisition processes for years, you know, the CAC has always been fantastic but it wasn't inherently scalable. So you know, I think that for all of those reasons I've been calling out the infomercial particularly. But there are a number of other things we are playing around with and you know, Hubert, it could be a series of small wins, so we'll see, but we feel good.
Hubert Mak: Okay, great. And then on the fixed internet, aside, are the end-markets you guys are entering like it -- is there some sort of auto -- how many markets you might be -- new markets you're entering in this year? And also what is the CapEx expenditure for this year?
Elliot Noss: Yes, thank you. You know, I thought about -- as you can appreciate Hubert, this -- first of all, this this call just the prepared remarks were longer than they typically are by about a third and you know, I was cutting and hoping some of this stuff would come up on questions. You know, there I think you will expect to see CapEx in the $30 million, $35 million range. As you saw last year, we'll be updating that on a regular basis so that you can -- we'll be sharing it with you as we go along because this is construction, things happen. You know, we think we're going to be a little bit better predicting this year than last year but let's see, because this is still is a relatively new business for us. And in terms of number of markets, I think that we're very, very focused on the markets we've announced right now; there is -- as I said on the call, there is nothing imminent but I think you will still see a couple few markets this year and the exact number will really depend on two things; one, watching some cities come out of the other end of their process; and two, how well we do with running multiple builds and multiple installed teams and multiple marketing efforts across markets as we're now taking on for the first time; so we're going to scale up a bit there.
Hubert Mak: Okay, so related to that terms and your capacity in terms of -- on the fixed internet you are looking at currently [indiscernible] markets exactly. Like whatever current markets you have -- like is your capacity sort of 100% in terms of how you can roll out?
Elliot Noss: What would I say, I think every quarter two things happen we're at capacity and we expand capacity. This is a business that's going to be ramping up really for the next couple of few years. So there is really -- there is almost not a day in this business where we're not at capacity and that we're not working on expanding capacity at the same time. You know, if I took anything as points on a line whether it was people working on that business and head office, whether it was number of crew doing installs, number of crews during construction; all of those numbers would be up and to the right.
Hubert Mak: Okay. And I just want to clarify in terms of CapEx can you just repeat what that number was for either annually or quarterly, what was that number?
Elliot Noss: Sure. That was in 2017, I think we'll see something in the $30 million to $35 million range.
Hubert Mak: Okay, so that's quite -- that's up quite significantly here from '16 as Pegasus [ph] really in terms of construction done, right?
Elliot Noss: Hubert, can you repeat that?
Hubert Mak: So this $30 million to $35 million CapEx spending for the fixed internet?
Elliot Noss: That's right.
Hubert Mak: Yes, so that's a lot -- terrific increase from last year, right or from '16?
Elliot Noss: Yes, I think you're going to see -- you know, I think the part of that Hubert is that some of the Holly Springs construction which we thought through a little bit of a rosy lens might have been in Q3 and Q4 last year is actually going to be in Q1 and Q2 this year. So you could see like a chunk swing like that too.
Hubert Mak: Okay, I understand. I just wanted to clarify that. Okay, thanks a lot.
Elliot Noss: That's great, thanks.
Operator: The next question is from Patrick Retzer from Retzer Capital Management.
Patrick Retzer: Good afternoon. I wanted to clarify the Enom acquisition; my numbers are you paid $83.5 million for the business and it's got annualized revenue of about $155 million, is that right?
Elliot Noss: I think that's about right. We are looking at -- so it's like do I go backwards or do I go forward, the three -- you know, I've got three quarters audited but that's not far, that's about right.
Patrick Retzer: Okay. And then for the first full year you expect $15 million in EBITDA from that business and after all the synergies are achieved $20 million a year in EBITDA?
Elliot Noss: Yes, I probably should call that cash contribution because I'm -- you know, I'm not allocating with that but yes --
Patrick Retzer: Okay, so you paid --
Elliot Noss: By those much -- by those limits.
Patrick Retzer: Okay. So you paid about 4.2, 4.3 times ultimate cash contribution?
Elliot Noss: Yes, I kind of -- yes, so you heard me on the last call -- well, I don't know if you were on it but on the call right after the -- the announcement, I kind of look at -- I like to look at very simply the sub-90 delivering about 20, that kind of thing.
Patrick Retzer: Okay. And by virtue of that transaction you're now the second largest domain name registrar in the world?
Elliot Noss: That's right. Well, you know it was always a little bit of back and forth around those positions but now it's very comfortably, you know us and number two behind GoDaddy with a pretty large gap back to number three.
Patrick Retzer: Okay. And then either on Twitter or on your Web site, you posted a video of who new to the U.S. technology of blowing fiber which is faster my, more efficient and disturbs the surface of the property less?
Elliot Noss: Yes, that's right. It's something that our guys picked up on some of their travels in Asia. And you know, we were -- we worked with our contractor in the Holly Springs to practice with that and the thing that probably was most positive to come out of that is that really when -- you know, when we were on your street, getting your street ready for fiber you noticed much less than would have historically or traditionally been the case. So we had a very good response from the people of Holly Springs, just in terms of not upsetting them too much which often when people are laying conduit laying infrastructure, there tends to be a lot of issues and here there is not very much gap between -- we're doing the construction work and we'd love to have you as a customer. So we think that's pretty positive and we were pretty aggressive on social as well in dealing with anybody who did have a question or an issue.
Patrick Retzer: Okay. But that doesn't lead the reduced share cost per install or [indiscernible]?
Elliot Noss: No, it absolutely does. Again that's a play -- as a variable we're very focused on, you won't see me moving my numbers that I provide on a regular basis for some period of time because I don't want to be doing that every quarter but -- but that absolutely impact -- you know, what used to take a number of human beings laying fiber in an open trench or a ditch is now done by machine in seconds. So there absolutely is a real cost savings to it.
Patrick Retzer: Okay, great. And then with regard to new markets and 2017, I know the previous caller and you discussed this but I don't -- I mean do you have an estimate of either serviceable addresses or number of markets you will announce in 2017?
Elliot Noss: I don't because there is a real variability for it. Last year was the first year we were announcing multiple markets and I found that I don't know that it helped. So I think what you can look at -- you know, you can take the CapEx spend, you can divide it by the cost per bills that we put out which is think about that in the $1,200 to $1,500 range and you can get to the number of serviceable addresses we're projecting, then you can look at the markets that we're in and you can kind of lay them out of the map and you can fill in however many additional cities you want for the rest of the addresses.
Patrick Retzer: Okay.
Elliot Noss: But you will see that we've got lots of meat on the bone, you know that $30 million, $35 million, we're just -- you know, we're not quite finishing the place as we are.
Patrick Retzer: Great. So it is -- in terms of the markets, are they showing more or the same amount of interests in fiber or less interest, how would you characterize them?
Elliot Noss: I think the interest rates remains consistently strong. I do think that a lot of municipal processes are kind of waiting a little bit to see what happens with some of the infrastructure program or infrastructure tax plan. There is a lot of regulatory uncertainty right now, for some that's causing them to maybe try and accelerate, for others that maybe they are a little -- you know, sitting back a little more but the native interest is just as strong as it's ever been and continues to get stronger as people need for fast reliable Internet over fiber increases.
Patrick Retzer: Okay. So you won't be wanted for lack of opportunity, I mean going soon?
Elliot Noss: No, that's not -- that's not a variable I'm worried about.
Patrick Retzer: Okay. Well, keep up the good work guys, thanks.
Operator: [Operator Instructions] The next question is from Jeff Osher from Harvest Capital.
Jeffrey Osher: Thanks for taking my question. Just on the -- Elliott, as we look at the $8 million of purchase accounting EBITDA that kind of goes into that black hole, was that included in the $50 million? In other words, is it going to be 42 for GAAP purposes, 50 --
Elliot Noss: Yes, it's 42 for GAAP purposes. You know, they just change that approach as Mike has talked about endlessly, last year around deferred revenue. So you know, look that treatment in our business in particular where there is the right of refund on a domain name is a little bit harsh but that treatment with an acquisition combined with purchase accounting rule is especially harsh. So I just --
Jeffrey Osher: No, no, I just want to make sure -- no, no, I agree. I just wanted to make sure -- I wasn't sure if the 8 was included in the 50, so 42 per GAAP --
Elliot Noss: No, no, no, I like the clarification but I was more going to explaining why I -- you know, even kind of give you both numbers. But you know, we always do run the business for cash and so I was like you guys to be following in the same way we're playing.
Jeffrey Osher: It makes a lot of sense. And then the $30 million to $35 million, that's a CapEx; so when we reconcile -- if we think about the $30.6 million of organic EBITDA in '16 where you grew contribution EBITDA annually was up about $10 million plus, the implied contribution is less than $5 million and nominal dollars in '17; organic contribution, right, if we exclude the $15 million, give or take of Enom cash expected contribution; is any of that explanation due to the $30 million to $35 million of CapEx also being -- is there an OpEx load in that $30 million to $35 million or is that true capital expense -- is that apples to oranges?
Elliot Noss: No, that's CapEx.
Jeffrey Osher: Okay.
Elliot Noss: And really, you know, I just call out two things. I'd call out that we do have a little bit greater investment in the Internet business this year and 50 is such a round number. You know, 51 implies a precision that nobody in [indiscernible] should have.
Jeffrey Osher: Elliot, the $4 million -- well maybe helpful of investments in fixed Internet that you kind of outlined for 2017; what would be the equivalent for 2016?
Elliot Noss: That was -- I want to say high to mid-three, high-three but in 2016 -- so that number does include some of the peripheral businesses that we picked up in the BRI acquisition a few years back in Charlottesville. And some of those businesses we've really been paying a little bit less attention to, so some of that investment more so then will be the case in '17 comes from a bit of a decline in those businesses.
Jeffrey Osher: Got it, got it. And so should two more just quick ones, so it sounds like when we think about free cash for '17 and may be a bit of anomaly where free cash is -- you know, when we factor in the incremental interest expense from the line in tax effect, pre-tax, you know free cash flow, it will be down materially in 2017 but premised on the investments you're making, obviously there is a pretty defined return on the CapEx you've delineated previously but we should think about free cash being in the single digits in 2017?
Elliot Noss: Well, so I'd say two things. One, I assume you're talking about free cash post CapEx.
Jeffrey Osher: Yes, maybe my -- yes, that's right.
Elliot Noss: And so the second -- what's very important here is there is a real wild card around what tax is going to be like. So that's both in terms of our tax planning and what the tax treatment of infrastructure is going to be like. So I'm not even thinking about that number until I see kind of what comes out of the other end of some of the --
Jeffrey Osher: No, I think that's fair, that's fair. But if we apply a 37% tax rate give or take, then -- and again, I think you've explained why given the expected returns. Last one for me, the million dollars of Enom one-time expense, was that G&A?
Elliot Noss: Yes.
Jeffrey Osher: All of it? Okay, so that was a cash expense and the accrued liability jump; I assume that's just merit increases and bonuses and things like that?
Elliot Noss: Yes, that would be -- no, that's all in the million.
Jeffrey Osher: No, no, I'm sorry the accrued liability on the balance sheet was up $1 million or $2 million; you know, it's up $2.6 million sequentially?
Elliot Noss: Yes, I would -- yes, that is a bucket of things, certainly in the earlier parts of the year you start building accruals rather than them winding down towards the end of the year.
Jeffrey Osher: No, but I'm talking about sequentially, it was up $2.6 million so that wouldn't have factored in accruals that were expensed earlier in the year?
Elliot Noss: I want to take a look at it Jeff.
Jeffrey Osher: Okay, good enough, good enough. We can follow-up offline. Thank you guys for taking my questions and nice work.
Elliot Noss: Thank you very much.
Operator: The next question is from Hubert Mak from Cormark.
Hubert Mak: I just want to clarify -- on terms of the fixed Internet, are we still looking for breakeven here operationally for 2018? I think that was the initial target that you had said?
Elliot Noss: Yes, that's right. Well what I said more specifically was towards the end of 2018, so not necessarily in 2018. And that was -- if you remember Hubert, that was the way I kind of flagged it for the Ting Mobile business as well. You know, what I'm looking at there is less about what is the calendar year result and more -- what is -- you know, when does it move from costing money to generating money.
Hubert Mak: Right. So you're looking for an exit where you -- 2018 where you're going to have breakeven and it start contributing positive to -- positively on EBITDA line in next Q1 '19. I guess is that the -- that's the thinking, right?
Elliot Noss: It might be -- so again, you know I'm going to be -- late '18 is kind of what I'm thinking but I'm not going to be precise between late '18 and early '19.
Hubert Mak: Sure, I understand.
Elliot Noss: And as you know, as we get more visibility and get closer to it we'll keep honing you in on it.
Hubert Mak: Right. Okay, thank you.
Operator: The next question is from [indiscernible].
Unidentified Analyst: Hi Elliot, thank you for taking my questions. I'd like to circle back for a moment. I'd like to circle back on RingPlus if I could; just to identify -- if I'm understanding the facts correctly. I believe that RingPlus is having current clients automatically migrate to Ting to sign up unless they opt out. Is that correct or I am misunderstanding the process?
Elliot Noss: It's close. So I think there is three comments I want to make there. First, this impending closure -- the Sprint shutting them down; I want to think it came out Friday. Michael, is that right?
Michael Cooperman: Friday, yes.
Elliot Noss: Friday, yes, so that came out Friday. So customers knew about this. We started kind of mobilizing Saturday, so -- but between Friday and the time we eventually do migrate that base, you know, there is people who are finding new suppliers. We certainly have had a number of ports in that are awaiting approval. So that's going on, so whatever -- from the 80,000 there is going to be some number that are going to move before we do anything; so that's kind of the first point. The second point is then that base will all kind of come over to us. So yes, that's correct, mitigated by the first point. And now the third point is -- but only the people who agree to our terms of service give us a valid credit card and sign up for Ting account; and you know, as you know that means really picking a username and a password and providing the address set around the credit card, right. Only people who take those positive steps will come over. Does that makes sense?
Unidentified Analyst: And I guess what I'm trying to understand is, if there is conservatism or if there is something I'm missing; 5,000, 8,000 converts out of a large base seems like a very low number, percentage-wise.
Elliot Noss: No, but remember surely the vast majority of those customers are taking advantage of their free service. So those are people for whom Ting was -- too many of whom Ting was too expensive at $23 a device. And when I say too expensive, I don't mean couldn't afford as much as didn't want to pay, right. So there is certainly some quality in there but the vast majority of those customers were on the free service not paying anything any month.
Unidentified Analyst: And then switching gears to Virginia, I noticed that Ting Internet has made a statement alongside Google and Netflix. I'm wondering what impact there may or may not be with Charlottesville in terms of regulatory dynamics?
Elliot Noss: You know, it's tough to -- I don't -- Charlottesville in particular, you know, I don't think there is going to be any impact on the ground in the city in terms of our relationship with the municipal government. I will also tell you that I believe at least what I was seeing trending was that some of those issues in Virginia were going to be fairly and effectively dealt with. So I think there might be a good news outcome in some of those efforts as well.
Unidentified Analyst: Yes, thank you very much.
Elliot Noss: And specifically, you know, we were -- I should note because I know this is inside baseball for a lot of people. We joined with others in objecting to legislation which would have limited cities and towns in the State of Virginia from trying to take steps to be more involved in their cities getting fiber.
Unidentified Analyst: Sure, thank you very much.
Operator: That was our last question. At this time I will turn the call back over to the presenters.
Elliot Noss: Thank you very much and we will look forward to speaking -- being with you all next quarter.
Operator: This concludes today's conference call. You may now disconnect.